Operator: Welcome to the OMV Results January to September and Q3 2025 Conference Call and Webcast [Operator Instructions] please be advised that today's conference is being recorded. At this time, I would like to refer you to the disclaimer, which includes our position on forward-looking statements. These forward-looking statements are based on beliefs, estimates and assumptions currently held by and information currently available to OMV. By their nature, forward-looking statements are subject to risks and uncertainties that will or may occur in the future and are outside the control of OMV. Therefore, recipients are cautioned not to replace undue reliance on these forward-looking statements. OMV disclaims any obligation and does not intend to update these forward-looking statements to reflect actual results, revised assumptions and expectations and future developments and events. This presentation does not contain any recommendation or invitation to buy or sell securities in OMV. I would now like to hand the conference over to Mr. Florian Greger, Senior Vice President, Investor Relations and Sustainability. Please go ahead, Mr. Greger.
Florian Greger: Thank you. Good morning, ladies and gentlemen, and welcome to OMV's earnings call for the third quarter 2025. With me on the call are OMV's CEO, Alfred Stern; and our CFO, Reinhard Florey. Alfred will walk you through the highlights of the quarter and discuss OMV's financial performance. After his presentation, both gentlemen are available to answer your questions. And with that, I hand it over to Alfred.
Alfred Stern: Thank you, Florian. Ladies and gentlemen, good morning, and thank you for joining us. As we held our Capital Markets update at the beginning of the month, where we gave a comprehensive update on our strategy 2030, I will focus today on the third quarter. Let me start with a quick overview of the macro environment. Oil prices in the third quarter were impacted by additional OPEC supply. However, increased crude processing by refineries driven by strong refining margins provided some support. As a result, Brent prices were slightly above the previous quarter, but 14% lower compared to the third quarter of 2024. European gas prices have traded in a narrow range in recent months with muted Asian demand easing competition for flexible LNG and allowing prices to drift lower. Despite a significant year-on-year decline in inventory levels by the end of the third quarter, European gas hub prices decreased by 5% versus the prior year quarter. The OMV refining indicator margin rose strongly to $11.5 per barrel, thus more than doubled compared to the prior year quarter and was significantly higher than the previous quarter. This was driven by strong gasoline and diesel crack spreads with unexpectedly high gasoline demand and a shift towards diesel production. Reduced Russian exports and maintenance at the Dangote refinery provided additional support. European middle distillate margins were further boosted by limited imports and tighter access to Russian crude and products. In Chemicals, European demand remained weak due to economic headwinds and increased imports, particularly from China and the U.S. European olefin indicator margins decreased compared to the previous quarter, but remained about 10% higher than the prior year quarter, supported by lower Naphtha prices and industry outages. Polyolefin indicator margins in Europe showed a mixed picture. Polyethylene margins improved, while polypropylene margins declined versus prior year quarter. Both benefited from lower olefin costs, but polypropylene supply remained abundant due to continued high imports even as domestic producers reduced operating rates. In this mixed economic backdrop, OMV delivered very solid financial results. Our clean CCS operating result rose to almost EUR 1.3 billion, an increase of about 20% compared with both the prior year quarter and the second quarter of this year, demonstrating the benefits of our strongly integrated portfolio. Main driver was a very strong result of the Fuels segment, which more than doubled compared to the prior year quarter. Clean CCS earnings per share grew to EUR 1.82, driven by strong refining margins and increased E&P sales volumes. A lower tax rate and the positive onetime effect related to a litigation outcome in Romania provided further support. Cash flow from operating activities reached almost EUR 1.1 billion and thus was on a similar level as the previous quarter. However, it came in below the strong prior year quarter, primarily due to significant negative net working capital effects. Excluding net working capital effects, the operating cash flow was slightly higher than in the prior year quarter. Our hydrocarbon production was 8% down year-on-year, primarily related to the divestment of our Malaysian asset last year. Fuel sales volumes remained broadly stable. Polyolefin sales volumes, including joint ventures in the third quarter declined by 8% year-on-year, partly attributable to the implementation of a new ERP system at Borealis. The clean operating result of the Energy segment declined by 11% to EUR 622 million, mainly due to significantly lower oil prices, FX development and the missing contribution from the divestment of SapuraOMV. Increased sales volumes had a somewhat mitigating effect. The realized oil price fell by 15% to $66 per barrel, in line with the Brent price development. In contrast to the European benchmark prices, our realized gas price increased by 10% to EUR 27 per megawatt hour, primarily due to the changed portfolio composition following the divestment of SapuraOMV. The unfavorable exchange rate development weighed on the results by around EUR 70 million compared with the prior year quarter. Production volumes declined by 8% to 304,000 BOE per day. This was mainly a consequence of the divestment of the Malaysian assets, which had produced 33,000 BOE per day in the third quarter of 2024. The strong production increase in Libya to almost 40,000 BOE per day more than offset natural decline in New Zealand and Norway. Unit production costs slightly increased to $11 per barrel, predominantly due to the lower production volumes and the foreign exchange rate development, partly mitigated by reduced absolute cost. Sales volumes increased by 6,000 BOE per day due to substantially higher liftings in Libya, complemented by greater sales volumes in Norway and the United Arab Emirates, owing to favorable lifting schedules. The result of Gas Marketing & Power declined by EUR 25 million, driven by a weaker supply result and a lower sales result in Gas West, only partially offset by an improved LNG contribution. Gas East delivered a better result stemming from the power business supported by power market deregulation in Romania effective from July 2025. The Clean CCS operating result of the Fuels segment more than doubled to EUR 413 million, driven by substantially stronger refining indicator margins, a significantly higher ADNOC refining and trading result and improved utilization rates of our refineries. The European refining indicator margin rose sharply to $11.5 per barrel. We were able to benefit from the strong market environment through a high refining utilization rate of 91%. The contribution of the marketing business remained strong but was lower compared to the very high prior year quarter. Retail performance declined slightly, mainly due to reduced fuel margins driven by less favorable oil product quotations, partly offset by slightly increased sales volumes following the acquisition of retail stations in Austria and Slovakia. The result of the commercial business decreased as margins declined driven by slow economic development. The contribution of ADNOC Refining and Global Trading increased significantly to EUR 52 million, mainly due to a better market environment and stronger operational performance. The clean operating result of Chemicals increased significantly to EUR 222 million, driven to a large extent by the stop of Borealis depreciation. In our European business, we recorded positive market effects of EUR 35 million attributable to rising olefin indicator margins, while inventory effects had a negative impact of around EUR 10 million. The utilization rate of our European crackers was 84%, slightly higher than the prior year quarter level. The result of OMV base chemicals improved, driven by stronger olefin margins and higher steam cracker utilization rates. This was partly offset by weaker benzene margins. The contribution of Borealis, excluding joint ventures, increased by EUR 64 million, supported by the stop of depreciation. However, contributions from both base chemicals and polyolefins declined. The base chemicals result was affected by a significantly lower light feedstock advantage, a lower phenol margin as well as a slightly decreased utilization rate of the Borealis steam crackers. These effects were partly offset by improved olefin margins in Europe and less negative inventory effect compared to the third quarter of 2024. Polyolefin sales volumes of Borealis, excluding joint ventures, declined by 8%, largely attributable to the implementation of a new SAP system, which led to presales in the second quarter. Thus, when looking at the 2 quarters combined, polyolefin sales volumes at Borealis rose by 5% compared to the respective prior year period. The realized unit margins of standard products declined primarily due to stronger import pressure. In contrast, the realized unit margins of specialty products remained strong and stable, underscoring Borealis' strength in the specialty segment. The contribution of the JVs increased to EUR 73 million, even though Borouge delivered a lower result due to softer sales volumes and weak demand in Asia. The increase of the JV result is explained by the reclassification of Baystar, which is no longer consolidated and was negative in the prior year quarter. Turning to cash flows. Our third quarter operating cash flow, excluding net working capital effects, was very strong at around EUR 1.5 billion, an increase of almost 80% compared to the previous quarter. It was also 7% higher than the prior year quarter. Main drivers were strong refining margins and higher volumes in Libya. A positive onetime effect related to a litigation outcome in Romania was also supportive. In the third quarter of this year, we recorded a substantial net working capital build of about EUR 400 million, while in the prior year quarter, we had a small positive effect from net working capital. As a result, cash flow from operating activities for the quarter was around EUR 1.1 billion, in line with the previous quarter, but 23% lower than in Q3 2024. Looking at the 9-month picture, cash flow from operating activities came in at EUR 3.5 billion, representing a decrease of 20% compared to the first 9 months of 2024. Around half of the decrease is explained by a swing in networking capital effects, which were positive last year, but negative this year. Organic cash flow from investing activities in the first 9 months was around EUR 2.8 billion related to ordinary ongoing business investments and major growth projects such as Neptun Deep, the PDH plant in Belgium, the SAF/HVO plant in Romania and the green hydrogen plant in Austria. Free cash flow before dividends in the 9 months of 2025 was 5% lower than in the same period of last year. Our balance sheet continues to be very strong with a leverage ratio at 16%. In the third quarter, we redeemed EUR 750 million of hybrid notes at its first call date. The fair value of the hybrid bond was reclassified from equity to short-term bonds and consequently repaid, leading to an increase of the leverage ratio. At the end of September, OMV had a cash position of EUR 4.6 billion and EUR 4.2 billion in undrawn committed credit facilities. Let me conclude with an updated outlook for this year. We maintain our Brent oil price assumption of around $70 per barrel for full year 2025. However, geopolitical environment remains highly volatile. For gas, we now expect the full year average THE price to be slightly below EUR 40 per megawatt hour and the realized gas price is projected to be at the lower end of the EUR 30 to EUR 35 per megawatt hour range. In the fourth quarter of 2025, we anticipate E&P production to be around 300,000 barrels per day thus expect for the full year 2025 an E&P production of slightly above 300,000 barrels of oil equivalent per day. E&P production costs are anticipated to remain stable at around $11 per barrel. In fuels, the refining indicator margin rose significantly in the third quarter and the start to the fourth quarter has also been very positive with refining margins above $12 per barrel. As a result, we are upgrading our full year outlook to above $9 per barrel. Our refinery utilization is expected to be at the upper end of the 85% to 90% range. Retail margins have developed positively and are now projected to be slightly above 2025 levels, while we maintain our outlook for lower commercial margins. The European chemicals market continues to face significant pressure from persistent economic challenges and rising import volumes, driving further consolidation and ongoing cracker closures. Supported by lower naphtha costs, olefin margins in the fourth quarter are estimated to be at a similar level as the average of the first 9 months. However, current high discounts are anticipated to have a somewhat mitigating effect. Polyolefin indicator margins are expected to decline in the fourth quarter due to lower seasonal demand and destocking at year-end. Consequently, we now assume a lower utilization rate of our European steam crackers of around 85%. Polyolefin sales volumes at Borealis are expected to increase by 200,000 tonnes to around 4.1 million tons in 2025. However, not as strongly as previously anticipated. All other full year assumptions for the group remain unchanged. We continue to make good progress on the Borouge Group International deal. We remain confident in our expectation to close both transactions related to PGI within the first quarter of next year. Thank you for your attention. Reinhard and I will now be happy to take your questions.
Florian Greger: Thank you, Alfred. Let's now come to your questions. [Operator Instructions] we start today's Q&A session with Josh Stone, UBS.
Joshua Eliot Stone: Two, please. One on the very strong result for Fuels this quarter, which pretty much looks like it beat the refining benchmark despite retail and commercial being a bit weaker sequentially. So just expand on what's driving that very strong refining performance. And are you seeing some benefits if you think about specific to I'm thinking about some of the refinery outages we've read about in some of your neighboring countries and wondering if that's been helping some of the performance or is likely to help the performance this coming quarter? And then second, on chemicals. I don't know if I've observed this correctly, but it seems like your tone has become a bit more cautious on the European market, given the role of imports and noting you're guiding towards lower runs despite being one of the lowest cost producers. So just maybe just talk us through that. And you mentioned these discounts you're seeing on the chemical market. So maybe just expand on how significant those discounts are and your expectation around those?
Alfred Stern: Yes. Thank you, Josh. Let me start with your question around Fuels. We -- the reception here wasn't very good. So I hope I got your full question. But yes, as you say, we more than doubled our fuels result in the last quarter. That was mainly driven by 2 different things, higher refining indicator margins and secondly, also a good capacity utilization in our refineries. The refining indicator margins drive was, in my view, result of multiple things happening. One is a supply-demand balance kind of thing. We saw strong gasoline demand in the driving season also in Q3. We saw healthy demand on the jet fuel side. And we also did see, let's say, demand-supply imbalance on the diesel side that was driving the diesel margins as well, which we could utilize in our refineries by making sure we are running them to also optimize the refinery margins. Quarter 4 started very strong. So the first days here in October, we are above the $12 per barrel that I mentioned. And I would anticipate that we continue to see a similar supply-demand kind of picture for the fourth quarter, which is then also why we increased our guidance outlook to over 9%. Let me also just mention here briefly the ADNOC refinery because also there, in the third quarter, we saw an improvement of the margins. Utilization there remains to be high, but the indicator margins helped to improve that and also the a strong start to the fourth quarter. On the -- your second question on the chemicals sector, indeed, we were very successful in driving the growth in the business in the first half of the year, partly driven by the SAP implementation. But as I said, we are still looking for the full year now at 4.1 million tonnes of sales, which compared to last year would be still about a 5% growth. So I would consider that rather healthy given the market circumstances. However, we are more cautious for the fourth quarter because we anticipate inventory management, cash management in the supply chain also with our customers and that we wanted to reflect in what I said here and in the outlook. Last but not least, on the discounts, this is a usual thing, the reported contract prices for olefins -- polyolefins usually have discounts associated in the specific sales contracts and with customers. And in particular, in situations where the markets are longer, these discounts or spot prices then can -- the discounts can widen a bit. I anticipate that this will be the case due to the given situation in Q4.
Florian Greger: Thank you, Josh, for your questions. We now come to Alejandro Vigil from Santander.
Alejandro Vigil: Two questions, please. The first one is about Libya. We have seen this volume increase year-on-year and quarter-on-quarter. If you can give us some color about the prospects for this country in your production profile? And the second question is about the Borouge-Borealis combination. You mentioned that everything is on track. If you can elaborate a bit about how you see all the regulatory -- potential regulatory issues and the fundamentals of the deal today.
Alfred Stern: Okay. Let me maybe start with Libya. On the Libyan production, or maybe three things. First, we had a higher lifting from Libya that was partly a result that was pulled in from the second quarter, but also we can -- it's difficult to time exactly quarter-by-quarter the lifting. So that was one effect. The second effect was the higher production, which is actually driven by a very good operational performance in Libya and activity there that we have in Nafoora to actually increase the production. The second effect compared to last year there is also that last year, Q3, we still had reduced production from the unrest in Libya. On your Borouge Group international question, I want to report to you that we are actually making quite some good progress with regulatory approvals. We have received several of those -- of the required approvals. And at the moment, we are anticipating that we should be able to close that transaction by the first quarter of this year. So far, we have not encountered any kind of delays or issues in any of the approvals. But of course, in the end, right, we need all of the approvals in order to have that. But we expect that Q1, we should be ready to close the transaction.
Florian Greger: [Operator Instructions] Now the next questions come from Gui Levy, Morgan Stanley.
Guilherme Levy: Two questions from me, please. First one, you commented on refining margins so far this quarter. I was wondering if you can say a few words about early next year, how quickly do you expect margins to convert to the $6 to $7 per barrel level that you used in your plan? And then second one, in terms of upstream M&A, can you share any thoughts regarding the appetite from sellers at this point? And how quickly could you see -- could we see the company active on that front? It's part of your 2030 targets, but any update as to how quickly that might be addressed would be great.
Alfred Stern: Yes. Thank you very much. On the refining indicator margins, at this moment, we have increased the outlook for this year to above $9 per barrel. The -- due to the -- as I said, right, we expect now in the fourth quarter, currently, we are even above $12 in the refining indicator margins just from experience this would look like a very high indicator margin and some normalization will happen on the way forward. At the same time, we have seen over the last years, in particular, since the Russian attack in Ukraine, we have seen a very volatile environment in the refining indicator margins, and we have also seen some supply-demand balances. So this will not go away immediately in my view. However, we would anticipate that for next year, it will normalize more and not stay at the Q4 level. On upstream M&A, what we said, key is that we want -- we are targeting now by 2030 about 400,000 barrel equivalent per day, and that would require some M&A because our organic activities and the projects that we have, they would result in some 320,000 to 330-ish BOE per day. So the first focus needs to be on successfully implementing and executing Neptun Deep and the other organic growth projects that we have. There, I can report that we are on track, in particular, also Neptun Deep for the 2027 start-up. On the inorganic activities, we are filling a pipeline of different ideas and thoughts, but our focus will be not on the volume per se, but on making an accretive deal here. And with this we will -- the timing will be depending on when we can make such a deal. At this point, we are not far enough in any of the opportunities that I could report anything specific.
Florian Greger: Next is Mark Wilson, Jefferies.
Mark Wilson: Okay I appreciate that. You've answered my questions on refining, I think. So could I ask -- could you just give us an update on the exploration that you're drilling, I believe, in the Black Sea in the Neptun area. Just remind us where that is and when that gets started, please?
Alfred Stern: Yes. Thank you, Mark. So the project that we keep citing Neptun Deep, there, of course, we are in the full execution of the project. We are on track with our plan production for 2027. I think you are referring to the Black Sea exploration project that we have started talking about, and that was in Bulgarian waters where we have also started looking in this neighboring Black Sea geology for an exploration drill and that we will start still this year with the first exploration well. And what we have also done a few months ago, we brought NewMed into this project for this exploration activity.
Mark Wilson: And if you could just remind us of what the target is, if that's going to happen this year or at least start this year, please?
Alfred Stern: So the exploration drilling will start this year, but we will have to continue exploration activities also in 2026, starting, however, this year.
Florian Greger: Thanks, Mark. We now come to Ram Kamath, Barclays.
Ramchandra Kamath: I have a couple. First of all, on the refining side, this time, ADNOC Refining made a sizable contribution after possibly 4 to 5 quarters of weak set of numbers earlier. So could you perhaps clarify what has changed, how it could be able to capture margin in 3Q, while performance was substantially weak in 2Q, while the benchmark refining was still healthy. And on the chemical side, it looks like the contribution from Borealis, excluding joint venture increased by EUR 64 million, as you alluded in the remarks earlier, supported by stock of depreciation. Not adjusting for this depreciation, it looks like the unit performance was weaker than last year at the same margin level. Possibly, could you throw some light what is happening in the sector? And is it right assessment to say that the chemical margin is still facing challenges here?
Alfred Stern: Ram, let me start with refining and then about the chemical market and then maybe Reinhard can also comment some on the specific results here. In refining, what has really changed is, first, in the OMV refineries, we were able to run a high utilization rate. Secondly, the market environment has changed in terms of refining indicator margins. And I think it's really the new sanctions that have come about and then some operational issues in the industry, I would say that are driving some of the supply squeezes. Dangote refinery is just one, but of course, also new kind of limitations on Russian crudes and things like this are driving refining indicator margins up. And that has been the case in all the refineries where we have participation, so not just in Europe, but also the ADNOC refinery. On the chemical question that you had, I would confirm your view of a more sideways move in the market side in Europe with the chemical margins still under pressure with high imports and lower economic activity in Borealis. And specifically, we see a difference between the productivity commoditized segment and the specialty segments. While we have seen some margin reductions in the commoditized areas and the specialty margins, we have actually seen continued demand combined with good margin stability and price stability. And maybe for the specific Borealis result, Reinhard wants to add something.
Reinhard Florey: Yes, Ram, your question was a little bit about how this compares also to last year, given that margins were not significantly different. So first of all, of course, if you deduct the depreciation effect, which makes Borealis' result actually look quite good this year, you have a situation that you are in comparison lower. And the reason mainly is that the market conditions are lower. So even if margins being at around the same level, the pressure on discounts is higher in this year. And Borealis has been quite successful to defend the market shares and to make sure that sales volumes are up -- but of course, that does not mean that they were able to hold exactly the same net margin to the company in this difficult environment. So we are expecting still that there will be some recovery next year in the customer industries. But at the moment, this is a challenging market. And therefore, we are quite happy that Borealis with its ability, as Alfred mentioned, to also concentrate on specialty grades has still a good chance to provide profitability at the end.
Florian Greger: We have a follow-up question from Alejandro Vigil from Santander.
Alejandro Vigil: It's about the net debt of the company expectations for the end of the year. I know working capital is very volatile, but if you can give us some indication about that. And also about the cash payment you're expecting to equalize your position in BGI, this cash payment, we should expect this to happen in the first quarter next year, right?
Reinhard Florey: Yes, Alejandro, absolutely right to start with your last comment, the cash payment in the magnitude of up to EUR 1.6 billion will happen only with closing of the transaction. We are expecting that to happen in the first quarter. And therefore, we're expecting that cash out also only in the first quarter. Regarding the net debt, -- it has been mentioned that the net debt level has increased simply from the payout of our hybrid bond in Q3 that was EUR 750 million. We also had a slightly negative free cash flow after dividends because there were some payouts from Borealis dividends as well as some hybrid bond dividends that were still there in Q3. So therefore, in total, net debt was increasing by about EUR 1 billion. However, we are seeing that the effect of the net working capital, which was quite negative in Q3 will be somewhat equalized in Q4. We are expecting that quite some of that will also flow back. The reason for the higher net working capital in effect have been on the one hand side, somehow elevated inventory levels, both in the fuels part as well as in the chemicals part due to a good production, but less sales activities at the end of the quarter. Then we have now more gas in storage, which is quite normal for this period of the year. And that, of course, also keeps some of the capital bound. And the third is a little bit of a special effect, which definitely will come back in Q4 in Borealis. And that's -- around half of that total effect of net working capital. We had lower securitization and factoring opportunities due to the change in our ERP system, the upgrading of the ERP system, not all of those could be yet transferred into the new net working capital programs that we have, and this will happen certainly in Q4.
Florian Greger: The next questions come from Adnan Dhanani, RBC.
Adnan Dhanani: Two for me, please. Just first on the gas market. Could we just get your views on pricing going into winter and how you see balances evolving, particularly as you mentioned, European storage levels currently are below where they have been at this point in recent years and just how that might impact your gas marketing results? And then second on the BGI deal, could we just get an update on where things stand as it relates to the recruitment effort for BGI's leadership given we're getting close to the targeted 1Q closure?
Alfred Stern: Okay. Let me start with your question around the gas market. We have actually seen that -- we have actually seen gas prices trending a bit lower over the year. Initially, we were anticipating [ THE ] hub price in Germany of about EUR 40 per megawatt hour. We now think it's going to be slightly below that EUR 40. If you look at the third quarter, we ended -- the average in the third quarter was about EUR 33 and the quarter before was about EUR 36. So potentially, when the demand picks up in the winter months, that could provide for some upward movement, but let's see how that develops exactly. On the BGI development, selection of the leadership is, of course, one of the key activities that we do for getting ready for the closing of the transaction. Also, we are proceeding to plan. We have a selection process where we are looking at both the internal candidates from the three different companies, but we also are looking and comparing to potential external candidates. And what we have agreed with ADNOC is that we would make a merit-based selection. So from this pipeline, we will ultimately then select what we think are the best candidates. We are confident that we will be ready by the closing to have those appointments.
Florian Greger: We currently have one more in the line. [Operator Instructions] The next question is from Sadnan Ali, HSBC.
Sadnan Ali: Two, please. The first one is just bigger picture on OMV. If we look back to the CMD in 2022, I think that was the first time you made a big push into chemicals and started reordering the segments and putting chemicals first and upstream third. Now the CMD this year was the first time where energy was brought back to the forefront and now chemicals pushed back. So can you just talk about the thinking here and how you expect the market to think about OMV's identity bigger picture? And secondly, in refining, you touched upon it earlier, but can you just give us a bit more color on to the extent in which you are able to optimize your refineries to take advantage of the yields given the current market environment?
Alfred Stern: Yes, Sadnan, let me -- thanks for your questions. Let me start with the first one on the big picture. So I think I want to point out that we are pursuing a strategy to have an integrated business of three different segments. We are looking to create a company with integrated energy, fuels and chemicals segment. And we do see chemicals as a growth opportunity for OMV. And indeed, as you said, in 2022, we had chemicals in the focus. And with this Borouge Group International deal, merging Borealis, Borouge and then adding Nova Chemicals to this, we believe we have made a major step forward in our chemical strategy. Now this Borouge Group International will require significant integration work. We have also said we want to extract synergies of at least EUR 500 million in this combination there, but there's also significant growth opportunities. So we said from a pro forma average EBITDA delivery of $4.5 billion in the last year. We want to push that to above $7 billion with the growth projects that we have, biggest one is Borouge 4, but also adding the synergies to it. So this will be a major growth step in a world-leading Polyolefins company that has excellent feedstock position with more than 70% in advantaged feedstock has an excellent share of innovative premium materials due to the innovation and technology capability of Borealis. So that's what we want to drive, and that will allow us to pay interesting dividend to OMV with a floor of $1 billion to -- for the OMV share of this, right? So this is what we will continue to push, and that will be the main growth vehicle at this point and the main focus for the chemical strategy. Then we have also seen that in our view, the demand for gas, in particular, will be stronger than it was anticipated previously. And we see this as an additional growth opportunity. We always had gas as a growth opportunity, but we see even more opportunity in this. Neptun Deep is obviously at the center of this, but we believe more growth can be added to this, and this is why we increased the production target in energy to 400,000 barrels from the 350,000, right? I think that's how you should look at that. At the same time, we want to maintain our integrated strategy across the three different segments. We believe that gives us financial performance and cash flow delivery capability to pay dividends and make investments, but we also think there is operational integration benefits, in particular, also in this transition phase. So we will continue to invest into the transformation such as sustainable fuels and in Petrom, in particular, also renewable power and in the longer run, geothermal heating and circular economy chemical recycling activities. I hope that answers your question or gives you a better feeling about this OMV identity, right? From our point of view, we continue in the direction of an integrated sustainable energy fuels and chemical company with our purpose being reinventing everyday essentials. So we will stick to our energy products, mobility products and chemical products. On the refining side, -- of course, what we have also part -- in our strategy is to adjust the, let's say, the input feedstock and the output product on our refineries. One piece is that more of the refinery output will go into the chemical integration. And -- the second piece is that more of the input raw materials will come from the sustainability side. So in the meantime, in the refinery in Schwechat, for example, we have a 160,000 ton coprocessing facility that inputs bio oils rather than crude oil. We have a 10-megawatt hydrogen facility in operation that provides green hydrogen rather than gray hydrogen. And the piece that we continuously always monitor is also the crude slate that we deploy and the operating conditions to optimize then shifting more to the chemical integration and making sure that we also get our split between the other products, diesel, gasoline, jet in the right way. We were able to get access to more airports and can also increase our jet sales from this. And in addition, as you remember, last year, we made some acquisitions of some fuel stations and also commercial retail networks that have also contributed positively to the sales in our retail network.
Florian Greger: Thanks, Sadnan, for your questions. We now come to the end of our conference call. Thanks a lot for joining us today. If you have any follow-up questions, please contact the Investor Relations team. We are happy to help. Thank you again, and have a nice day. Goodbye.
Alfred Stern: Thank you, and have a great day.
Florian Greger: Thank you. Bye-bye.